Operator: Welcome to the News Corp's Second Quarter Fiscal 2025 Earnings Conference Call. Today's conference is being recorded. Media will be allowed on a listen-only basis. At this time, I'd like to turn the conference over to Michael Florin, Senior Vice President and Head of Investor of Investor Relations. Please go ahead.
Michael Florin: Thank you very much, Operator. Hello, everyone, and welcome to News Corp's Fiscal Second Quarter 2025 Earnings Call. We issued our earnings press release about 30 minutes ago, and it's now posted on our website at newscorp.com. On the call today are Robert Thomson, Chief Executive; and Lavanya Chandrashekar, Chief Financial Officer. We will open with some prepared remarks, and we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corp's business and strategy. Actual results could differ materially from what is said. News Corp's Form 10-K and Form 10-Q filings identify risks and uncertainties that could cause actual results to differ and contain cautious statements regarding forward-looking information. Additionally, this call will include certain non-GAAP financial measurements such as total segment EBITDA, adjusted segment EBITDA and adjusted EPS. The definitions and GAAP to non-GAAP reconciliations of such measures can be found in the earnings releases for the applicable periods posted on our website. With that, I will pass it over to Robert Thomson for some opening comments.
Robert Thomson: Thank you, Mike. News Corp had yet another fruitful quarter qualitatively and quantitatively. Revenues on a continuing operations basis, which excludes Foxtel, grew 5% to $2.24 billion, while profitability rose 20% to $478 million as we made significant progress in our digital development. A few more metrics to highlight our performance. Net income from continuing operations surged to $306 million, a 58% increase compared to the same quarter in the previous year. That is correct, 58%. While our EPS from continuing operations was $0.40 compared to $0.28 in the prior quarter. And our overall margin rose from 18.7% to 21.4%. Our 3 pillars of growth, Digital Real Estate, Dow Jones, and Book Publishing continued to expand their segment EBITDA robustly, while we saw the positive impact of rigorous cost discipline and digital development in our News Media segment. With a keen eye on our innate strengths, we took a significant step towards simplification with the agreement to sell Foxtel to DAZN, a premier global sports streaming provider, for a total enterprise value of AUD 3.4 billion or approximately 7x Foxtel's fiscal 2024 EBITDA. The agreement is a tangible recognition of Foxtel's successful digital transformation and should surely benefit our shareholders, our partners at DAZN and all Australian sports fans. We expect the transaction to close in the second half of the current fiscal year, subject to regulatory approvals and other customary closing conditions. Hence, Foxtel financials are now reported as discontinued operations. The sale of Foxtel should have a meaningful impact on our balance sheet. Upon closing, Foxtel's outstanding shareholder loans will be repaid in full, including AUD 574 million to News Corp while its third-party debt will be transferred with the business. News Corp will also hold an approximate 6% stake in the fast-growing DAZN. We are proud to be long-term partners with the DAZN team and see material value upside potential in the growth of a company that is at the cutting edge of international sports development. I encourage all to download their app and delve into a vast range of sports. In the wake of this important deal, we were delighted that both S&P Global and Moody's upgraded our credit rating to investment grade, reflecting the impact of our long-term strategy of focused investment and an emphasis on return of invested capital. We certainly lead the way in providing priceless content for generative AI and remain vigilant in our pursuit of degenerative AI and abuses of our intellectual property. We are pleased with our partnership with OpenAI and hope that other companies in the segment take a similarly enlightened approach. Our legal action against the perplexity is underway, and we look forward with relish to document discovery. We firmly believe that this discovery process will be an important phase, not just for us, but for all who cherish the sanctity of IP. The sudden rise of  DeepSeek is itself a salutary lesson for all AI players. If they are unable to host fresh, trusted news, their version of AI will lack immediacy and relevance. Data centers and energy sources and [indiscernible] chips may well be essential AI infrastructure. But ultimately, we believe content will be king in the world of AI. One rather general generic post-election observation. We are seeing a tangible increase in business confidence here in the U.S. since the election, the temporary turmoil of transactional tariffs aside. There is a confluence of economic optimism and a cultural awakening with the yoke of woke having been lifted. We believe these trends should lead to less superfluous gratuitous regulation, greater capital formation, increased opportunities for all Americans, and more candid creative, compelling conversations. Hopefully, an era of censorship and self-censorship is receding into the distance. As for specific segments, Digital real estate revenue increased 13% to $473 million and segment EBITDA burgeoned 26% to $185 million. That strength came despite significant growth in the prior year quarter at REA and reflected renewed revenue growth at realtor.com despite the still hostile housing market conditions in the U.S. with the 30-year mortgage rates above 7% in recent weeks. Clearly, realtor.com's efforts to strengthen adjacent revenue streams are paying off with accelerated growth in rental, seller and new homes revenues. Realtor continues to make significant progress in engagement as evidenced by the highest repeat visitation and most number of views per visit in the industry in December as per Comscore. At REA, the success story continues as the company achieved a quarterly record in revenue while extending its audience leadership and reinforcing its position as Australia's preeminent property site. REA achieved 129 million average monthly visits during the quarter, nearly 4x more than the nearest competitor on average. Listing volumes rose 4% with yield growth at 14%, while our India division continued to post healthy revenue growth. At Dow Jones, revenue grew 3% to $600 million. Segment EBITDA expanded 7% to $174 million and margins rose an impressive 110 basis points. While overall performance in the first half of the fiscal year has been strong, we expect year-over-year growth to increase in the second half of the year. In Q2, digital circulation revenue grew year-over-year at its fastest pace in 2 years as digital ARPU improved sequentially and the conversion from introductory promotions and digital bundle offers ran ahead of expectations. Readers derive significant value from our prestige portfolio of the Wall Street Journal, Barron's, IBD and MarketWatch. And we believe there is potential for revenue improvement as we emphasize the strength and the distinctiveness of individual titles. Risk and Compliance and Dow Jones Energy reported revenue growth of 11% and 10%, respectively. And the teams continue to benefit from new products such as advanced screening and monitoring and Analytics Pro that add meaningful value for our compliance-focused risk-averse clients. New initiatives contributed about 1/3 of B2B revenue growth this quarter. Now more than ever, Dow Jones Risk and Compliance clients are navigating rapidly changing regulations and sanctions. This complex environment in the U.S. and globally boosts demand for risk and compliance products as organizations rely on our expert insights and comprehensive data to make informed decisions and to stay compliant. The uncertainty regarding the transactional tariffs is driving demand for Dow Jones Energy's insights and forecasting services as clients seek to understand the potential impact on global energy markets and investment opportunities. Book Publishing reported yet another exceptional quarter with revenue expanding 8% to $595 million and segment EBITDA surging 19% to $101 million. Growth in the quarter was powered by strong Bible sales, a sterling performance at HarperCollins U.K. and a healthy mix of titles. Margins improved thanks to buoyant sales of backlist books and a particularly noteworthy 13% increase in audio revenue. Among the best sellers, the Pumpkin Spice Cafe and the first volume of shares memos were standouts. The successful cinematic release of Wicked led to strong sales of Gregory Maguire's 4 book series, and we anticipate a further boost from the next installment in that series. The positive cycle should continue with the release of the hit film sequel later this calendar year. At News Media, revenue fell a modest 2% to $570 million, but segment EBITDA grew an impressive 30% to $74 million. Success in the quarter was driven by the transition of Talk in the U.K. to streaming and our commercial printing partnership with DMG as well as reduced costs at News Australia. Overall ad trends moderated, while the Times posted its largest quarterly net additions of paid digital subscriptions in 2 years. Digital advertising grew by 13% at the New York Post, where profitability was also assisted by our OpenAI deal. News Media generally has clearly benefited from those OpenAI revenues, and we are pleased with the progress in our partnership with Sam Altman and his exceptional colleagues. Content is but one part of a broad deal. And for example, our legal and government affairs teams are swapping ideas and experiences as we negotiate the nuances of AI. As part of our partnership, News Corp content will be featured in OpenAI's new operator product, ensuring prominence for our journalism in the burgeoning world of agentic AI. Both companies are striving to ensure that the A in AI does not stand for any [indiscernible] alphabetic or absurdity. In a world in which so many media companies and mastheads are in terminal decline, our business is thriving, thanks certainly to the diligent and creative work of our talented teams and the savvy strategic guidance of Lachlan and Rupert Murdoch and our astute Board of Directors. Speaking of talent, I am honored to introduce our new Chief Financial Officer, Lavanya  Chandrashekar, who will eloquently expand on the exegesis.
Lavanya Chandrashekar: Thank you, Robert, for the kind introduction. I am delighted to be with all of you today and look forward to meeting many of you in the coming months. I'm excited to join News Corp amid the company's continued impressive digital evolution. As Robert mentioned in December, we announced an agreement to sell Foxtel to DAZN, which for News Corp will allow for a greater focus on our core growth pillars, will meaningfully strengthen our balance sheet and should reduce our future capital intensity. Turning to the quarter. Foxtel's financial results are reflected as discontinued operations for fiscal 2025 and 2024 second quarter and year-to-date periods, and subscription video service is no longer a reportable segment. I will not speak to Foxtel's results on this call, and they are excluded from the numbers I will be discussing today, but more information will be available in the 10-Q to be filed tomorrow morning. We will also be filing an 8-K with recast historic financial information. News Corp reported fiscal second quarter revenues on a continuing operation basis of $2.2 billion, rising 5% year-over-year and total segment EBITDA of $478 million, increasing 20% year-over-year. Margins improved by nearly 270 basis points to 21.4%. The 3 core pillars, Dow Jones, Digital Real Estate and Book Publishing, collectively grew revenue by 7% and segment EBITDA by 16%. Second quarter adjusted revenues rose 4% compared to the prior year, with the difference from reported primarily due to currency impact, while adjusted total segment EBITDA rose 20% versus the prior year. For the quarter, we reported earnings from continuing operations per share of $0.40 compared to $0.28 in the prior year. Adjusted earnings from continuing operations per share were $0.33 in the quarter compared to $0.27 in the prior year. Moving to the individual segments, starting with Dow Jones. Dow Jones reported revenues of $600 million, up 3% year-over-year, similar to the first quarter and was again the largest segment contributor to overall company revenue. Digital revenue accounted for 81% of total Dow Jones segment revenue this quarter, improving 3 percentage points from last year. Overall, Professional Information business revenue, which reflects our B2B products, rose 4% year-over-year, notwithstanding an over 300 basis point adverse impact from Factiva, primarily due to the ongoing customer dispute that we mentioned last quarter, with the impact greater in the second quarter. This quarter, the growth came from new customers, new products and improved yield at Risk and Compliance, which grew 11% to $80 million, including a modest negative FX impact due to European exposure and Dow Jones Energy, which grew 10% to $68 million with customer retention remaining very strong at over 90%. During the quarter, Risk and Compliance enhanced its product offerings with the acquisition of WorldECR, a London-based provider of export control and trade sanction news. And in energy, we continue to see strong demand for newer products associated with carbon, retail fuels and liquefied petroleum gas and experienced robust pipelines and strong closing rates. Within the Dow Jones Consumer business, circulation revenues rose 3% versus the prior year, benefiting from improved digital circulation revenues of 8%, double the quarter 1 rate and the highest quarterly growth in 2 years. We have started to benefit from the conversion to higher pricing from our digital subscriptions added in the past year by introductory promotional offers. Digital ARPU also increased quarter-over-quarter. Digital circulation revenues accounted for 73% of circulation revenues for the quarter, up from 70% in the prior year. Digital-only subscriptions improved by 13% year-over-year and by 27,000 sequentially, negatively impacted by the phasing of marketing promotions and seasonality, particularly related to students and some industry headwinds from search algorithms. That said, we do expect stronger volumes in the third quarter. Bundling subscriptions for the quarter improved by 45% year-over-year to over 950,000 while also benefiting from improved yield with the focus on the 3-product bundle of Wall Street Journal, MarketWatch and Barron's. Print volume declined by 16% year-over-year, but its sequential decline was the lowest since the fourth quarter of fiscal 2021. Advertising revenue of $121 million moderated from the prior quarter to a decline of 4% year-over-year as print declined 10% with digital flat, an improvement from the first quarter. Digital represented 64% of advertising revenues, up from 62% last year. Dow Jones segment EBITDA for the quarter grew 7% to $174 million, with margins increasing to 29%. Moving on to Digital Real Estate. Digital Real Estate had another exceptional quarter with segment revenues of $473 million, up 13% versus the prior year and 12% on an adjusted basis. Segment EBITDA was $185 million, up 26%, driven by higher profit contribution from REA Group, the highest growth since 2021. Adjusted segment EBITDA grew 25%. REA had an outstanding quarter with revenues rising 17% year-on-year to $343 million, marking its highest-ever quarterly revenue on record. Growth was again driven by a combination of residential yield increases, continued strong growth in national listings, and customer contract upgrades. Residential yield growth improved by 14%. New buy listings rose approximately 4% with Sydney and Melbourne each up 2%. Please refer to REA's earnings release and their conference call for more details. Realtor's revenue for the quarter of $130 million were up 2% compared to the prior year, marking the first year-over-year improvement since the fourth quarter of fiscal 2022. At Realtor, real estate revenues were essentially flat as lower referral and lead generation revenues were largely offset by accelerating growth from adjacencies. Lead volumes fell 2%, while average monthly unique users for the quarter fell 6% year-over-year to 62 million at realtor.com. However, Realtor continues to maintain strong audience share despite much higher competitive marketing spend, underscoring the strength and quality of their audience. Realtor also continued to show strong traction on new revenues as seller, new home and rentals represented 20% of revenues, and we anticipate continued strong growth in these adjacencies going forward this fiscal year. At Book Publishing, momentum from the prior year continued with the year-over-year growth improving from first quarter with revenues of $595 million, up 8%, while segment EBITDA improved by 19% to $101 million. Margins expanded by 150 basis points to 17% as positive operating leverage was underpinned by strong digital and backlist performance. We saw strong growth in Christian Publishing from higher Bible sales and very strong sales in the U.K., as Robert mentioned. Harper continued to benefit from strong physical book orders and continued robust audiobook growth across all regions. HarperCollins posted digital revenues of $120 million, increasing 9% from the prior year, driven by strong audiobook growth across all regions, including increased adoption at Spotify and increased performance from Audible. In total, digital sales represented 21% of consumer revenue, in line with the prior year. Audiobooks grew 13% year-over-year, a slower rate than quarter 1 as we began to lap the initial rollout from Spotify in the U.K., Australia and U.S. The backlist contributed 61% of consumer revenues, up from 60% last year. Turning to News Media. Overall revenue performance improved from the first quarter with advertising declines moderating and the segment benefited from increased cover prices and subscription pricing across mastheads. Revenues for the quarter were $570 million, down 2% versus the prior year, while adjusted revenues fell 3%. Note that both periods were recast to include the contribution from Sky News Australia, which previously had been included in the subscription Video Service segment. Sky News contributed $17 million in revenues, flat compared to the prior year. Segment EBITDA showed strong improvement, rising 30% year-over-year, driven by cost savings initiatives, as we mentioned last quarter, most notably at the U.K. from the benefits of the commercial printing joint venture with DMG Media and lower top costs. Adjusted segment EBITDA increased 28%. Turning to the outlook. Market trends remain mixed geographically. And given the current spot rates for the Australian dollar and pound sterling versus the U.S. dollar, we expect currency translation to be a headwind in the second half. Some of the themes across each of our segments. At Dow Jones, the team remains focused on B2B growth, including upselling and new products across Risk and Compliance and Dow Jones Energy. As Robert mentioned, for total Dow Jones, we expect to see improvement in growth in the second half. We expect expenses to be modestly higher year-over-year due to investment, notably in B2B. However, we will continue to focus on cost efficiencies to drive growth. At Digital Real Estate, Australian residential new buy listings for January were up 3%. Refer to REA for more detailed outlook commentary. Realtor.com will continue to focus on technology improvements and enhanced content and product offerings with the goal to be best positioned to drive share when the housing market recovers. We hope to see some revenue improvement, notably from continued growth from adjacencies, but continue to monitor macro trends. We currently expect the rate of reinvestment to be modestly higher in the second half as we continue to focus on growth initiatives. At Book Publishing, as mentioned last quarter, we hope to see further profit improvement in fiscal 2025, albeit likely at a much more modest rate due to difficult prior year comparisons and quarter 3 will be impacted by phasing of frontlist releases. At News Media, while we expect the segment to continue to benefit from lower Talk TV costs, together with savings associated with the new commercial printing joint venture with DMG in the U.K., advertising conditions remain difficult with limited visibility and coupled with ForEx headwinds, we anticipate a more challenging second half. As mentioned last quarter, we expect other segment costs to be higher than last year, including ongoing AI and related legal costs. With that, let me hand it over to the operator for Q&A.
Operator: Thank you. We will now start the Q&A session. [Operator Instructions] Our first question will come from David Karnovsky with JPMorgan.
David Karnovsky: Just maybe on the Foxtel deal, I want to see if you could discuss a bit the structure here and reasoning to take the DAZN equity as payment and maybe your view on the asset. And then following this, Robert, it would be great to get your updated view on the overall News Corp structure. And can you say at this point, if you're still engaged in an overall strategic review?
Robert Thomson: David, obviously, the deal is subject to the usual regulatory approvals, in particular, that of the Foreign Investment Review Board in ACCC in Australia, and we're providing whatever information is important agencies require. We do expect that the deal will formally close this fiscal. But I should emphasize that we will be close partners with DAZN, whose team we've found to be particularly impressive. And I think it's fair to say that they have found the Foxtel team to be particularly impressive. Essentially, you have the marriage of 2 world-class companies. And together, there'll be more than the sum of their parts. As for structural reform, the Foxtel deal itself should reinforce the sense that we are constantly reviewing our portfolio. And that deal is eloquent testimony that we don't just review, we act decisively. Look, we are conscious of maximizing returns for our shareholders and the improved returns have certainly come from buttressing of bolstering our core pillars, and that is reflected in our share price, not entirely, obviously, but somewhat. I'm sure you're aware that our shares have risen more than 26% over the past 6 months.
Operator: Our next question will come from Kane Hannan with Goldman Sachs.
Kane Hannan: Maybe just the comments in the introduction, Robert, around Dow Jones earnings growth accelerating in the second half despite the expectations for more OpEx growth in the second half. Can you talk a little bit more around what's driving that? Is that the Factiva impact dropping away, the improving subscriber trends you called out of the journal? So just help us understand what gives you the confidence in the improving second half.
Robert Thomson: Well, Kane, I think it's a combination of 2 things, the Dow Jones circulation trends. The total subs were up 9% at around 5.9 million, digital-only up 13%. And we're very focused there on average revenue per subscriber and are seeing positive trends as the Dow Jones dynamic pricing strategy unfolds, and that was reflected in the overall 3% increase in circulation revenues despite a continuing fall in print circulation revenue to be candid. So digital circ revenues were up 8%. And the Dow Jones team is generally confident that the phasing of subscribers from discounted entry-level offers to more standard pricing is proceeding well, and we will see that reflected in the ensuing months. And then at PIB, clearly, risk and compliance and Dow Jones Energy are both faring well, and we have full confidence in them.
Lavanya Chandrashekar: If I could just add to that, Robert. I mean -- Kane, one of the things we need to remember is that the second half generally tends to be the time when we have more additions in any case. So there is a seasonality piece there as well, which will help.
Operator: Our next question will come from Jason Bazinet with Citi.
Jason Bazinet: Just had a question for Mr. Thomson. Given that it's a year into the Spotify deal, can you just remind us what you are hoping to achieve with that agreement? And then based on consumer behavior sort of a year-end, what lessons, if any of you learned, so far?
Robert Thomson: Jason, I'm very proud of the partnership with Spotify, which I think itself has changed the audio book market and the broad trends there remain in place now. The audience is expanding and audio overall was 13% higher. And there I say, even the e-books were 6% higher after a couple of years of relatively sluggish sales. I think what we are seeing is a change in consumer behavior, adaptation by both Spotify and Audible for that increased audience. And dare I say we are beneficiaries of that.
Operator: Our next question will come from Entcho Raykovski with Evans & Partners.
Entcho Raykovski: My question is just around the expected use of the proceeds from the Foxtel sale. I appreciate the transaction is yet to close, but you'll get some money as part of the shareholder loan repayment. So do you expect that presents some scope for capital management? Or is it your intention to reinvest those proceeds? And I don't know as part of that answer, if you can give us any sort of broad guidance on where you expect CapEx to trend going forward post-completion of the sale?
Robert Thomson: Well, Entcho, clearly, we are absolutely focused on generating maximum value long-term for our shareholders. We have a $1 billion buyback provision in place. And you can see from our disclosures that , that buyback is well underway. As well as that, we have the dividend payments. So we're extremely conscious of shareholder returns and returning to shareholders. I mean last fiscal, we returned 70% of our available free cash flow through the buyback. And clearly, the significant increase in our free cash flow in recent years has given us optionality and the upgrades to investment grade by both Moody's and S&P Global in recent days reflect that reality. But we will go on being conscious of our duty to shareholders, but we do so from a position of strength.
Operator: Our next question will come from David Joyce with Seaport Research.
David Joyce: I appreciate your outlook for the back half of the year. Could you provide some more color though on the timing of when we would be lapping the price increases, Dow Jones on the consumer and professional services side. And also when you would expect the new products to be coming online at the REA and contributing them? And then finally, on Book Publishing. If you have more of an outlook over the next few quarters of significant titles that would be released -- that will be drivers.
Robert Thomson: Well, I think we've given as much guidance as we can on the likely trajectory for Dow Jones and pricing. Essentially, what you are seeing, by the way, there is the increase in digital and also -- which led to 81% of our revenues are being generated through digital compared to 78% last year. And secondly, the continuing influence through the expansion of the PIB business relative to the entire business. So -- and the impact of that higher-margin business on our profitability is quite obvious. The margin at Dow Jones rose from 27.9% to 29%. And there's every reason to believe in coming months and quarters and years, do I say, that as PIB takes a larger share of revenue, that margin will continue to expand. As for the books business, we have a full roster as always, at HarperCollins, the books that Lavanya and I mentioned. But also, we have a very strong backlist there, which is -- the value of which is sometimes underestimated by certain analysts. And through the years, we have been working diligently on bolstering that backlist, which tends to be more profitable, obviously enough. And it's not insignificant that the backlist share rose from 60% to 61% of total sales in the most recent quarter. And that backlist is a platform for future growth.
Lavanya Chandrashekar: If I could just add to that, just to -- on the ARPU. I mean what we have guided to in the second half is that growth will be moderating because we've had more phasing of the front list into the first half of the year. So that's just something to keep in mind.
Operator: Our next question will come from the line of Craig Huber with Huber Research.
Craig Huber: Robert, I just wanted to ask you, as you know, you guys went public with your thoughts on optimizing the structure of the company 2 Novembers ago. A lot of people applaud you for what you did with Foxtel, simplifying the company from that angle. I'm just curious, as the other gentleman was asking as well, is there more to go here to simplify the company? I know part of it is kind of maybe dumbed up a little bit here just given the tough U.S. mortgage market, if you were ever going to do anything with realtor.com, nobody would want you to potentially sell that in the housing market, you would not optimize the value of it and so forth. But putting that issue aside, can we maybe potentially get another announcement here before maybe we get to the 2-year mark? I just want to get sort of a sense here what we're playing with here. Is there more to come here on optimizing the company?
Robert Thomson: Craig, we are constantly reviewing the structure of the company. And look, it is fair to say that the Foxtel deal itself is hard evidence of that, that our consideration of the appropriate structure does not end with that significant decision. But there is no doubt that we have a collection of very valuable assets. And I certainly wouldn't underestimate the value of a realtor. I mean when you look at the new growth areas there, so seller-related revenues, new homes and rentals, all of which have been a focus of investment by Damian and the team, those revenues rose 51% in the quarter compared to a year earlier. And just one other point worth highlighting at realtor, and this is Comscore, so it's independent, not one of those wonderful internal metrics used by some. Realtor has a significantly higher rate of visits per unique -- page visits per unique visits than Zillow. And that's valuable. That shows that we have a quality audience. These are drive buyers. These are not drive buyers, I should say. These are customers parking the car in the garage.
Operator: Our next question comes from the line of Brian Han with Morningstar.
Brian Han: Robert, just to be clear on Dow Jones, your expectation that year-on-year growth will accelerate in the second half. Were you referring to revenue growth or earnings growth? And are there any plans to increase investment in Dow Jones going forward, whether in marketing or technology?
Robert Thomson: We're always looking for opportunities for Dow Jones. And you can see from the investments, do I say, stage investments made in recent years, which are now coming to fruition that if there's an opportunity at a reasonable price, we'll pursue it. We see two areas of potential improvement from the Dow Jones team. One, we're coming into the period as Lavanya mentioned, of higher sales. And secondly, we are also seeing that the dynamic pricing system adopted by the team is starting to bring us benefit. So the combination of both.
Operator: Our next question will come from Evan Karatzas with UBS.
Evan Karatzas: Can I just ask one around the strong Dow Jones margin expansion you're delivering? Maybe you talked about a couple of minutes ago, can you just firstly just give an idea of the margin headwind from the Factiva dispute to help us get, I guess, a more normalized margin? And then if you can as well, is this expectation of the 100-ish basis points of quarterly margin expansion, is that around the level you'd be expecting for the rest of the year or I guess, going forward, just given the multiple moving parts happening there in the second half that you've spoken to?
Lavanya Chandrashekar: Thank you for your question, Evan, this is Lavanya. We're not -- I'm not going to be giving margin guidance for Dow Jones for the second half of the year. But to kind of talk about what the impact of Factiva was -- just from a revenue perspective, Factiva had more than a 300 basis point impact on revenue. And so you can kind of do the math there on what that may have impacted from a margin perspective. Look, in the second half, we will continue to be disciplined on cost. We will continue to work towards improving profitability and really focused on monetizing all the subscriptions that we added last year. And we should expect to continue to see upside in margins.
Operator: At this time, we have no further questions. I'll hand the call over to Michael Florin for closing remarks.
Michael Florin: Great. Well, thank you all for participating. We look forward to speaking to you soon. Have a wonderful day. Take care.